Operator: Good morning, ladies and gentlemen, and welcome to the Prestige Brands Holdings Q2 Fiscal 2017 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. As a reminder, today's conference call is being recorded. I would now like to turn the conference call over to Dean Siegal, Director of Investor Relations. Please go ahead.
Dean P. Siegal - Prestige Brands Holdings, Inc.: Good morning and welcome. As a reminder, there's a slide presentation which accompanies this call. It can be accessed by visiting prestigebrands.com, clicking on the Investor link and then on today's Webcast and Presentation. I am required to remind you that during this call, management may make forward-looking statements regarding their beliefs and expectations as to the company's future business prospects and results. All forward-looking statements involve risks and uncertainties, which, in many cases are beyond the control of the company and may cause actual results to differ materially from management's expectation. You are cautioned not to place undue reliance on these forward-looking statements, which speak only as of the date of this conference call. A complete Safe Harbor disclosure appears on page 2 of the presentation accompanying this call. Additional information concerning the factors that might cause actual results to differ from management's expectations is contained in the company's Annual and Quarterly Reports which are filed with the U.S. Securities and Exchange Commission. Also as a reminder, some of the information contained in this presentation includes adjusted projections which exclude acquisition-related and other items. A reconciliation between adjusted results and reported results is included in today's earnings release. Now, I'd like to introduce Ron Lombardi, CEO, and Christine Sacco, CFO.
Ronald M. Lombardi - Prestige Brands Holdings, Inc.: Thanks, Dean, and good morning, everyone. Today's call will cover the highlights of our second quarter performance, review the financial results, and finish with an update for the full year outlook. But before we start on page 5, I want to welcome Christine Sacco to the call today. Chris started as our CFO back in mid-September and has already proven a quick study in our business and she will cover the financial review section of today's call. With that, let's turn to page 5. Our second quarter was yet another period of strong results across a number of fronts. We saw our highest level of quarterly sales ever at just over $215 million, which was up approximately 4.5% over the prior year despite U.S. retailer headwinds that we'll cover in detail on later slides. We also realized strong bottom-line growth of 5% with adjusted EPS of $0.63 during the quarter and adjusted free cash flow of nearly $50 million along with a reduction in debt of over $100 million during the quarter. Turning to page 6, we have more detail on our performance and how we continue to deliver against our strategy. Our record revenue during the quarter highlights the positive impact our strategy is having on our performance. Results for the quarter were driven by continued gains in consumption in our Invest for Growth brands, strong results in our International business and the momentum we have been able to generate behind the DenTek business in the short time we have owned it. Specifically, we saw revenue growth of approximately 1% in our Invest for Growth business, sales growth at Care Pharma of approximately 8% and solid DenTek sales in excess of $17 million during the quarter. These gains were able to more than offset the temporary impact that our top five U.S. retailers had on organic sales during the quarter due to inventory management. We will cover this in more detail on slides 8 and 9. We also saw continued strong growth in our adjusted EPS of 5% which was ahead of the sales increase. Our industry-leading financial profile with EBITDA margins above 36% continued to generate strong cash flow during the quarter of approximately $50 million. That, combined with the proceeds from the brands we divested during the quarter, allowed us to reduce our debt by over $100 million and lower our leverage level to 4.5 times. In addition to these achievements during the quarter, we continue to focus on strengthening and executing our brand building plans for DenTek for both the short and long term. We are very pleased with this acquisition and look forward to continued revenue expansion from this category. Turning to page 7, we have our year-to-date highlights. Our September year-to-date results largely mirrored the results from Q2 with sales growth of approximately 6.5% to just about $425 million, adjusted EPS growth of approximately 9% to $1.22 and adjusted free cash flow of nearly $100 million, which helped to drive a reduction in debt of over $150 million for the first six months. In addition to this, we also saw our Invest for Growth sales increase 2.6% as our International business helped to offset the impact that our top five retailers had on organic sales during the period. Turning to page 8, we have our Invest for Growth consumption on the top of the page and sales trends on the bottoms for fiscal 2015, 2016 and the first two quarters of fiscal 2017. During the second quarter our consumption growth performance was generally in line with or above the categories we compete in. Our second quarter consumption in total saw a drop from the first quarter as the number of categories that we compete in like ear and eye care, pain, skin and GI saw meaningful drop in consumption levels from the Q4 and Q1 levels we saw. We have seen variations like this in the past and expect the consumption levels to return closer to the first quarter's level for the remainder of the year. Sales for the quarter lagged consumption by nearly 50% as we saw a slowdown in order patterns by our largest customers the last few weeks of September. As we have discussed in the past, we have seen variability in quarterly order patterns from these customers over the last few years. This is obviously not sustainable due to the consumption levels for our brands. In addition, this is something that is impacting others in the industry and is not unique to Prestige or the categories we compete in. The important point to note on this is that our strategy and the diversity of our business enables us to perform well, offsetting these impacts and continuing to deliver solid top and bottom line results as evidenced by our Q2 performance. Moving to slide 9, we have more detail on the variability from these customers over the past six quarters. Slide 9 shows that over that last six quarters, we have seen retailer order patterns lagging consumption in half of the quarters. In addition, we have not seen any meaningful recovery or catch-up as these retailers have been reducing inventory levels in general. Despite these headwinds, we've been able to continue to grow our business by focusing on winning with the consumer at shelf and growing our market share. In the second quarter, consumption in these accounts outpaced shipments by approximately $8 million, which reduced organic sales growth by over 4 points. Our performance over this period is continued proof that our strategy is working and our leading brands are resonating with consumers and gaining market share. We are focusing on growing our Invest for Growth brands, delivering strong cash flow through investing these brands and building M&A capacity that allows us to add brands with long-term growth prospects. This balance also has us well positioned to meet our financial targets for the year. Turning to page 10, we have an update on our brand building efforts behind our latest acquisition, DenTek. As I mentioned earlier, we are very pleased with the progress we have made to-date on DenTek and the momentum the brand has. We largely completed the integration of the business by the end of the first quarter and have been focusing on brand building since we closed on the acquisition back in February. Our efforts have been concentrated on dental professional marketing targeting the hygienist, growing the category based on consumer and shopper insight, developing a new product pipeline, expanding our distribution both in the U.S. and in Europe, and connecting with consumers through the use of digital. DenTek is off to a great start after just nine months of ownership and we continue to feel good about the long-term growth opportunities for this brand. Moving on to slide 11, I'd like to highlight our Nix brand. Even in a category like lice treatment, brand building, new products and innovation are important. Nix has grown significantly since we acquired the brand as part of the Insight acquisition back in September of 2014 and in the most recent quarter our retail sales were up 53% and we gained over 7 points of market share even with the category declining about 5% over the last six months. We've accomplished this by introducing new products like Nix Ultra, which is effective against Super Lice, launching an online Lice Tracker, and connecting with consumers and caregivers through digital advertising. This is another great example of how our brand building approach works across our broad portfolio. At this point, let me turn the call over to Chris, who will take us through the financial overview for the quarter.
Christine Sacco - Prestige Brands Holdings, Inc.: Thank you, Ron, and good morning, everyone. As Ron just described and as summarized on slide 13, we are pleased with our fiscal second quarter and year-to-date results. Our results for the second quarter include revenue growth of approximately 4.5%, EPS growth of 5% and free cash flow generation of just under $50 million. Moving on to slide 14, we report our consolidated fiscal second quarter and six months period ended September 30, 2016 results. As a reminder, the information in today's presentation includes adjusted results that are reconciled in our earnings release. For the second quarter, revenue increased 4.4% versus the prior year and for the six months ended September 30, revenues increased 6.6%. These results reflect our strong and diverse portfolio of brands including increases in our International and DenTek businesses. Organic revenues declined 0.6% in the second fiscal quarter on a constant currency basis versus the prior year and for the six months ended September 30, organic revenues increased 0.1% on a constant currency basis. These results were driven by continued strong consumption for our Invest for Growth portfolio, excluding DenTek, of 1.5% in Q2 and 2.4% for the first half of fiscal 2017, consistent with our organic revenue growth target of 1.5% to 2%. Our second quarter gross margin of 57.6% was in line with our expectation primarily reflecting the impact of sales mix and strong growth from DenTek, which has a lower gross margin than the overall average of the Core OTC portfolio but has a consistent EBITDA margin. A&P spending was 13.3% of net sales for the second quarter, an increase of $700,000 when compared to the prior year. A&P spending for the first six months ended September 30 was up 3.5% versus the prior year and reflects our continued focus on investing in brand building and new product development within our Invest for Growth portfolio. Adjusted G&A spending for the second quarter came in at 8% of net sales, up $800,000 from the same period last year. Year-to-date adjusted G&A increased $2 million compared to the prior year. Our adjusted EBITDA for the fiscal second quarter increased 3.3% over the prior year comparable quarter. Adjusted EBITDA for the six months ended September 30 increased 6.5% versus prior year and the EBITDA margin for the six-month period was 36.4% of net sales, in line with the prior year. Our adjusted EPS grew faster than net sales in both the three and six months ended September 30, 2016 compared to the prior-year period as a result of our ability to use our industry-leading strong free cash flow to delever and reduce interest expense. Second quarter EPS growth was 5% on total recorded revenue growth of 4.4%. EPS increased 8.9% for the six months ended September 30 versus the same period a year ago. Moving on to slide 15, you see the reconciliation of reported net income to adjusted free cash flow. For the fiscal second quarter, we continued to deliver strong adjusted free cash flow of $49.4 million, an increase of 6.9% over the second quarter of the prior year. For the first six months ended September 30, we generated just under $100 million of adjusted free cash flow, which was up 12% versus the prior year, driven by increased EBITDA and the benefit of deferred taxes reducing the amount of cash taxes paid. Based on our first half adjusted free cash flow and consistent with our outlook of $185 million or more for full fiscal 2017 adjusted free cash flow, we expect the full year number to be at $190 million or more. As a result of the free cash flow generated in the second quarter as well as the proceeds received from the divestiture of non-core brands, we were able to reduce our debt by over $100 million during the quarter to approximately $1.5 billion. As a result, we reduced our leverage ratio to 4.5 times, which is the same level as it was at June 30, 2014, despite having completed almost $1 billion of acquisitions since that time. Given our Q2 leverage level, we estimate current M&A capacity at around $800 million, increasing to over $1 billion by fiscal year end. Before I pass it back to Ron, I'd like to update you on the purchase option Moberg held on one of our brands, Dermoplast. You'll recall in the first quarter, Moberg acquired three of our non-core brands with an option to purchase an additional brand, Dermoplast, by December 2017. During the second quarter, Moberg exercised this option and we have recently been notified of their intent to close on the transaction as soon as practical, likely before the end of fiscal 2017 or even as soon as the end of Q3. The resulting impact for the top-line this year depends on the timing of the transaction and we are still comfortable with the EPS range we have provided. On an annual basis, Dermoplast has net sales of approximately $12 million and the impact to EPS on a full year basis would be approximately $0.06 per share. This concludes my comments and I will now turn it back to Ron.
Ronald M. Lombardi - Prestige Brands Holdings, Inc.: Thanks, Chris, and let's continue on page 17. On page 17, we start with reaffirming our full year outlook for revenues and raise the bottom end of our fiscal year revenue outlook based on performance to date and our outlook for the back half of the year. At the bottom of the page, we reaffirm our adjusted EPS outlook of plus 6% to plus 9% growth and although we are reaffirming our adjusted free cash flow outlook, we now feel we will be at $190 million or more for the year based on a reduction in expected capital addition. Turning to page 18, we'll wrap things up and then open the lines for question. On slide 18, we have the three key drivers of our proven strategy. At the start of the call today, I mentioned how our Q2 and year-to-date results reflect the benefit that the strategy has on performance and value creation. Retailer headwinds have existed for well over a year now and the impact is not unique to Prestige, as we have seen other CPG and OTC companies comment on both the recent downward trend in consumption as well as retailer order pattern headwinds. However, despite these impacts, our diverse portfolio, broad customer base and growing International business combined with the benefits from our DenTek acquisition have more than offset these headwinds and have resulted in top and bottom-line growth as well as a meaningful reduction in debt and increased M&A capacity, as Chris just described. Further evidence that our strategy is working is that over the last four years the portfolio we started with in 2012 has grown approximately 1% on the top line and approximately 2% to 2.5% on the bottom line. This is even with a portfolio made up of approximately 65% Invest for Growth and 35% non-core at the time. Over the past four years, our growth has come not only from our acquisitions but also from growing the business with which we started with. I think this is an important point. Both the long-term and short-term progress has been driven by our three-part strategy that focuses on winning with the consumer, growing our market share and de-levering to reduce interest expense and provide resources to invest behind brand building and M&A. With that, let's open the lines for questions.
Operator: Thank you. Our first question comes from Joe Altobello of Raymond James. Your line is now open.
Joseph Nicholas Altobello - Raymond James & Associates, Inc.: Thank you. Hey, guys. Good morning and welcome, Chris, by the way. First question, I wanted to go into the organic growth number. Obviously, flat roughly year-to-date. You guys are still looking for a bit of an acceleration in the back half of this year. So, can you give us a little bit more comfort in terms of what you guys are looking for to drive that acceleration? And, I guess, part of that question relates to the retailer inventory reductions you're seeing. How long you expect that to last. It sounds like not much longer. And why your categories, because it seems like your categories are pretty much a needs based? I'm surprised that they're looking to reduce things like OTC Healthcare products.
Ronald M. Lombardi - Prestige Brands Holdings, Inc.: Good morning, Joe. So let's break up the discussion around organic growth into two parts. The part that we control, which is consumption. That's obviously what we focus on: brand building and growing our share. We continue to feel good about the pace at which our consumption is growing and what we've realized over the last six quarters and that's really the basis behind us continuing to feel good about that expectation for the second half of the year. Obviously, the first half of the year was impacted by the retailer order pattern trends that we saw at the end of Q2. But, again, if you look back at the consumption trends, we feel good about them and that's supporting our outlook for the second half of the year. And again, as a reminder, beginning in Q4, we'll have DenTek in the organic growth comps as well, and that business has been performing very well for us. So I think that's the first part of your question. The second part is why did we see some variability in overall category trends, consumption trends? This isn't new. We've seen this happen in the past. These are needs based but there is variability in the needs from time-to-time. Cough/cold is a great example of the fluctuations you may see but we do see it in other categories as well and that's what we saw in Q2.
Joseph Nicholas Altobello - Raymond James & Associates, Inc.: Okay. Thank you. That's helpful. And just one last one on Monistat, and, I guess, there is seasonality to yeast infections as you told us last quarter. So, curious what the trend was in the September quarter for that brand?
Ronald M. Lombardi - Prestige Brands Holdings, Inc.: Yeah. So we saw incident rates increase from the Q1 levels. They were down 3.5% or more in Q1. They were up slightly in Q2. So that was really a significant increase of about 4 points or more in Q2 versus Q1.
Joseph Nicholas Altobello - Raymond James & Associates, Inc.: Okay. Great. Thank you, guys.
Ronald M. Lombardi - Prestige Brands Holdings, Inc.: Thank you, Joe.
Operator: Thank you. And our next question comes from Jason Gere of KeyBanc Capital Markets. Your line is now open.
Jason M. Gere - KeyBanc Capital Markets, Inc.: Thanks. Good morning. I guess, just continuing on the line that Joe started off with on organic sales, if we think about the 1.5% to 2% is there – I guess, when you think about the five retailers out there, I don't know if you can say if Walgreens-Rite Aid is one of those top five and if that's a factor something you kind of cautioned about. But are there other retailers? Is there any concern that it's not just the top five retailers that maybe there are other retailers out there that might be pulling back on inventory? Is there more of a shift to online and that's playing into it as well? So that's the first question. If you could just maybe provide a little bit more context there?
Ronald M. Lombardi - Prestige Brands Holdings, Inc.: Yeah. So the top five retailers that impacted us cover both mass and drug, Jason. And we didn't see any meaningful concentration in any of those individual customers. It was kind of spread across the board. And, I think, if you looked at each of them, you'd see that there's probably different reasons behind why they're focusing on managing inventory but all with the same intent of helping to manage their overall financial performance. So that's the first part of it. The second part of it is with Walgreens and Rite Aid's expected merger, that seems to be delayed. So we didn't see any impact of that in the quarter and we continue to expect that but probably late Q4 at the earliest at this point.
Jason M. Gere - KeyBanc Capital Markets, Inc.: Okay. So you are factoring that into this 1.5% to 2% for the back half of the year. I guess, when we look at it – so you are still factoring in that there will be some impact from Walgreens-Rite Aid. The other thing, I guess, is that the brands that you've sold off, and now Dermoplast, that's in there as well. What would be the aggregate impact that it has on the second half of the year by those brands which, I assume, were softer sales not being in there? I'm just trying to look at the underlying consumption of your Invest for Growth brands versus kind of one-offs that kind of impact quarter-to-quarter.
Ronald M. Lombardi - Prestige Brands Holdings, Inc.: So, if I understand the question, so the Invest for Growth portfolio which makes up about 80% of our revenue obviously drives overall consumption and performance of the business. So during the first half, we saw sales growth of about 2.5%. So during the first half, the total if we were just flat, you can see that the 20% did impact us. We sold three brands that were having a significant impact on that portion of it, which we divested back at the end of the first quarter.
Jason M. Gere - KeyBanc Capital Markets, Inc.: Okay. All right. And then the last question. Could you tell us on a pro forma basis what DenTek's year-over-year growth was in this quarter compared to last year? And then you talked about GI and ear-and-eye. Are you assuming that those kind of rebound similar to how Monistat did from one quarter to the next? Is that an improvement coming back into the back half of the year? Thank you.
Ronald M. Lombardi - Prestige Brands Holdings, Inc.: So for the core categories we compete in today, we do expect the incident levels to recover back to normal levels. And then in terms of DenTek, the business has been performing largely in line with the growth rates that we saw prior to the acquisition, so mid-to-high single-digit. So that business, the core basis of it, continues to perform at that level.
Operator: Thank you. And our next question comes from Steph Wissink of Piper Jaffray. Your line is now open.
Lauren M. Wolff - Piper Jaffray & Co.: Good morning. This is Lauren Wolff on for Steph. Just going back to the supply chain tightening issues. Have you experienced these types of issues previously and do you have kind of an expectation for the length of time before it gets worked out? And in the meantime, do you expect, kind of, a period of increased shipments in the next couple of quarters to make up the difference between consumption and sales? And then my follow-up question. We're entering kind of the cold and flu season here in the U.S. What is the sensitivity of your OTC business to, kind of, trend line?
Ronald M. Lombardi - Prestige Brands Holdings, Inc.: Okay. Let me work backwards from that list of questions. Cough/cold makes up just under 10% of our total business so we don't have the same impact today that we did just even two years ago when it was 20% or more of total sales. So it doesn't move the needle on our overall business like it used to. As a matter of fact, last year, even with incidences down 15%, our cough/cold business, which is heavily concentrated in coughs and sore throat was actually flat. So we can buck that trend depending on where the incident level is impacted. So that's the first question. I think one of the other questions you had in there was have we seen retailer inventory adjustments in the past? We have. If you go back to the quarter ended December 2012 and March 2013, we saw very significant retailer adjustments that impacted the business. The difference between today and back then is that our business continues to be even more diverse with a growing International business and the addition of DenTek that we're able to offset those adjustments at this point and still meet our financial targets for the period where back during that period of time it really impacted the business significantly. So we have seen it before. It's hard to predict how long it will play out. Clearly, we wouldn't expect anywhere near the same kind of impact that we saw in Q2 of $8 million. That's very significant, as you can see, compared to the other trends we had on page eight, I believe it was. So, hard to predict but we would expect over the next couple of quarters that we get back to closer to consumption and each of our other patterns to be closer than they were in Q2.
Lauren M. Wolff - Piper Jaffray & Co.: Thank you.
Operator: Thank you and our next question comes from Linda Bolton Weiser of B. Riley. Your line is now open.
Linda Bolton Weiser - B. Riley & Co. LLC: Hi. I was wondering if you could – I know sometimes you give the sales growth or sales decline and consumption performance of the non-core brands, and I know it's a minor part of your portfolio but I'm just trying to get at whether there is somehow some worsening of performance there that is more significant than the slowdown in the core brands? So is there any way you can give some idea as to the sales decline in the non-core?
Ronald M. Lombardi - Prestige Brands Holdings, Inc.: Sure. Let me break it out into two parts, like, Household, which makes up about half of the non-core; and then the non-core OTC. Specifically, the performance, the trends there have been fairly consistent. The Household business was down approximately 3.5% during the quarter which is fairly consistent and in line with what we would expect for Household and the non-core OTC was in the high-single digits which, again, is fairly consistent. So you put those two pieces together and we were down 5% or 6% or so during the quarter.
Linda Bolton Weiser - B. Riley & Co. LLC: And is the gap between your sales and consumption more significant there than for the core brands?
Ronald M. Lombardi - Prestige Brands Holdings, Inc.: Can you repeat the question, Linda?
Linda Bolton Weiser - B. Riley & Co. LLC: Is the gap or the difference between your sales and the POS consumption decline, is that gap more significant for the non-core than for the core brands?
Ronald M. Lombardi - Prestige Brands Holdings, Inc.: No. It's consistent across the portfolio, the gap. When the retailers make adjustments in order patterns, it's kind of across the board, at least what we saw in September.
Linda Bolton Weiser - B. Riley & Co. LLC: Okay. Thanks. That's helpful. And then, I know you don't want to sort of get into giving quarterly guidance. I mean, is there any kind of directionality you can point us to for organic sales for the third fiscal quarter? I mean, I would think given the numbers you've provided on the retailer behavior, it seems like your organic growth has to improve in the third quarter. I mean, can you give any directionality?
Ronald M. Lombardi - Prestige Brands Holdings, Inc.: Yes. If you asked me that question on the August call about Q2, I would've said, we're off to a good start and we feel good about not only consumption but sales patterns. And then things changed drastically the last two weeks or so of the quarter. So it's hard to predict. We're a month into Q3 and we see normal quarter patterns but the period between Thanksgiving and December, one, is always hard to predict. And two, the reactions we've seen from the retailers, the changes in order pattern is hard to predict.
Linda Bolton Weiser - B. Riley & Co. LLC: Okay. And then, I think one of the things you had mentioned was a Dollar Store merger also that could be impacting your shipments this fiscal year. What is the status of that? Has that merger occurred? And what is the timing of potential impact of that?
Ronald M. Lombardi - Prestige Brands Holdings, Inc.: Yes, I believe that merger completed in late calendar year last year. And I believe it's happening fairly slowly. So we haven't seen any meaningful impact on our business as of yet.
Linda Bolton Weiser - B. Riley & Co. LLC: Okay. Okay. Thanks very much.
Ronald M. Lombardi - Prestige Brands Holdings, Inc.: Thank you, Linda.
Operator: Thank you. And our last question comes from Frank Camma, Sidoti. Your line is now open.
Frank Camma - Sidoti & Company, LLC: Good morning, guys.
Ronald M. Lombardi - Prestige Brands Holdings, Inc.: Hi, Frank.
Frank Camma - Sidoti & Company, LLC: Just a follow-up on Monistat. Can you talk about where you're at with the professional detailing on that?
Ronald M. Lombardi - Prestige Brands Holdings, Inc.: Sure. We continue with the program. It's been underway about a year now. It's a long-term program, Frank, where our doctor detailing force is out there visiting OB/GYN offices all across the country. It continues to make progress, but this is going to be a long, slow build that takes patience.
Frank Camma - Sidoti & Company, LLC: Okay. And have you been tracking the script data to see if you're, in fact, taking some share from the pharmaceutical equivalent?
Ronald M. Lombardi - Prestige Brands Holdings, Inc.: We do. We do tests in control markets versus where we've got heavy activity. So we do track that as we do with all of our marketing brand-building initiatives and we continue to feel good about the progress that initiative has.
Frank Camma - Sidoti & Company, LLC: Okay. The last question's just on the International since Australia, you called out the strength there. Is there something unique there going on that's driving that that obviously sounds like it's above category growth there. I mean, is there something driving that 8% that we should be aware of?
Ronald M. Lombardi - Prestige Brands Holdings, Inc.: Really, we've got three strong brands in Australia with Murine for eye care, Fess for nasal, saline in nasal care, and Hydralyte. And just like in the U.S. where we focus on our core brands, in Australia they put all of their efforts and attention behind those three brands. They're growing share, especially with Hydralyte, which is a very significantly sized brand for that market. And it has had very good success over the last two and a half years or so since we've owned it. So it's really those three brands that continue to do very well. We've got a fantastic management team there that's doing a great job for us.
Frank Camma - Sidoti & Company, LLC: Hydralyte is almost like an adult Pedialyte. Could that be brought to the U.S. market or is that just too difficult given the marketing roll-out you would need?
Ronald M. Lombardi - Prestige Brands Holdings, Inc.: We only own the rights for that brand in Australia and New Zealand, Frank.
Frank Camma - Sidoti & Company, LLC: Okay. Thanks. That's all I had.
Operator: Thank you. And I'm showing no further questions at this time. I'd like to turn the conference back over to Mr. Lombardi for closing remarks.
Ronald M. Lombardi - Prestige Brands Holdings, Inc.: Okay. Thank you. And, again, I want to thank everybody for joining us today. Have a good day. Thank you.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program and you may all disconnect. Have a great day, everyone.